Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the USANA Health Sciences Fourth Quarter Earnings Conference Call. [Operator Instructions] This conference is being recorded today, February 6, 2013. I would like to turn the conference over to Patrique Richards. Please go ahead, Sir.
Patrique Richards: Good morning, everyone. We appreciate you joining us this morning to review our fourth quarter and full year results, as well as our preliminary outlook for 2013. Today's conference call is being broadcast live via webcast and can be accessed directly from our website at www.usanahealthsciences.com. Shortly following the call, a replay will be available on our website. As a reminder, during the course of this conference call, management will make forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause actual results to differ, perhaps materially, from the results projected in such forward-looking statements. Examples of these statements include those regarding our personalization initiative, our strategies for each of our regions and our initial outlook for 2013. We caution you that these statements should be considered in conjunction with the disclosures, including specific risk factors and financial data, contained in our most recent filings with the SEC. I'm joined this morning by Dave Wentz, our Chief Executive Officer; Paul Jones, our Chief Financial Officer; Kevin Guest, President of the Americas, Europe and South Pacific; and Doug Hekking, our Vice President of Financial Strategy. We'll hear first from Dave, who will discuss our business activities during the quarter and year, as well as our strategies for 2013. We'll then hear from Kevin, who will provide us with an update on North America. And finally, we'll discuss -- Paul will discuss our financial results and 2013 financial outlook. I'll now turn the call over to Dave.
David A. Wentz: Thanks, Pat, and good morning, everyone. I'm excited to be with you this morning to again present an excellent financial performance by USANA. Looking first at our fourth quarter results, I'm pleased to report that USANA delivered its fourth straight quarter of record sales and earnings. In addition, this was the 10th consecutive year of record sales and the highest net earnings in EPS in the company's history. Our record performance is the result of the significant effort from our employees and associates around the world and to the execution of the strategies that our management team has put in place. These strategies include our personalization initiatives, our efforts to grow Greater China and our initiative to regain momentum in North America. I'll begin this morning by discussing our progress on each of these strategies and our expectations for 2013. During 2012, we officially launched our personalization strategy, which focuses on personalizing our product offerings and customer experience around the world. Under this strategy, we expanded the availability of our flagship MyHealthPak product to our international markets. MyHealthPak is a fully personalized supplement pack that can include virtually any of our essentials or optimizer products. We also introduced 2 proprietary health assessment apps for our customers called the True Health Assessment and True Health Companion. The use of technology like these apps is a very effective way to provide our Associates with an innovative and personalized way to market USANA products to new and existing customers. We launched these new apps at our 2012 International Convention by giving every Associate in attendance a free iPad with a preloaded version of the True Health Assessment. During the fourth quarter, we worked to train our Associates on how to use these new apps as they market to USANA to potential customers. The True Health Assessment has received several enhancements to fully deliver on its promise of being a one-of-a-kind tool, by removing the one-size-fits-all approach and by placing the consumer in control with personalized nutrition solutions based on their specific health and lifestyle information. An important enhancement to this patent pending tool is the consumer's ability to complete a product transaction and start a USANA business right from the app. In 2013, we will continue to leverage this technology by updating and improving these apps, while continuing to train our sales force on how to effectively use them. As part of our personalization strategy, we unveiled a fresh look for USANA during 2012, which included new branding, new packaging and a new fundamental approach to our business, which is evident in our tagline, Your Health, Your Life, Your Way. Our new look and focus reflect our commitment to personalize every aspect of our customer's experience with USANA. Finally, prior to introducing our personalization strategy at our International Convention, we launched our Lifetime Matching Bonus program for our Associate sales force. This bonus incents our business-minded customers for the development of long-term enduring sales through duplication of leaders long-term. This change was received by our sales force with great support and enthusiasm. Operationally, the Lifetime Matching Bonus relieves pressure on our Associate incentive expense and provided us with the flexibility to implement customized incentive offerings in each of our regions to further our personalization efforts. Look for us to utilize this flexibility to offer various regionally focused incentives in 2013. We made good progress on our personalization initiative in 2012, but this is only the beginning. We will continue to execute this initiative in 2013 in a number of important ways. First, as I mentioned a few minutes ago, we will continue to leverage technology as we train our Associates on how to utilize the True Health Assessment and the True Health Companion to market USANA to customers. The focus of our Associates in this regard is on the individual needs and desires of the customer. Next, we will continue to update our technology and systems to provide our customers with a more personalized experience as they do business with USANA. These updates will occur in all of our international markets and we'll apply our personalization philosophy to each of the touch points with our customers, including our website, online ordering and customer service systems. Finally, we plan to introduce new and personalized products to our customers. We have several products planned over the next few years that we're excited about. This new product roll out is carefully planned around a product development and launch strategy that is focused on driving long-term growth for USANA. As our management team in North America focused on our personalization initiative, our Asia Pacific management team made solid progress on our strategies in Greater China and Southeast Asia Pacific. For the fourth quarter, the strategy produced double-digit sales and customer growth in both regions. In particular, sales and Active Associates both grew meaningfully in Greater China during the fourth quarter. Our efforts in Greater China during 2012 included further integrating our China operations and systems with our worldwide operations, continuing to educate our customers in China on our product offering and business opportunity in this market and launching 2 more skin care products in China, where our USANA branded products continue to do very well. In 2013, we expect momentum in Greater China to continue to build. Our primary objective in this region and our other regions will be to grow our active customer accounts. To accomplish this, we will continue to focus on personalization by executing the strategies I just touched on, continue to emphasize our products and business opportunity in China, personalize our systems in China to make it easier and more enjoyable for our customers to do business with us and improve logistics in China by seeking to improve the speed and convenience of delivery of our products to customers. We also continue to pursue additional provincial licenses in China and expect to make progress on this front in 2013. To better serve our growing customer base, we will also upgrade 8 of our existing 23 branches and open another branch in a major city. Turning to Southeast Asia Pacific. We continue to see momentum in this region during the fourth quarter, where sales increased 27.2% and the number of Active Associates increased 18.3%. While the Philippines continue to drive our growth in this region, I'm pleased to report that every market in this region generated sales growth during the quarter. Our primary focus in Southeast Asia Pacific during 2013 will also be growing our active customer accounts. To do this, we have a number of initiatives planned at both the market and regional level. In the Philippines, for example, we have launched a new pay card system that will make it easier for our customers in that market to do business directly with USANA. We plan to use this pay card system in many other markets going forward. Another initiative we have planned for this region in 2013 will focus on several of our mature markets. In these markets, we will execute a pricing initiative to make our product pricing more competitive, thus making it easier for our Associates to bring new customers into the business. This initiative will take place in Australia, New Zealand and Canada and will include price decreases. Our management team is determined to move forward with this initiative after evaluating considerable market research and meeting with our Associate leaders. While this initiative will likely result in some short-term pressure on our top and bottom line results in these markets, we believe it will create much greater potential for customer growth, and customer growth is essential for USANA's long-term success. We're excited and optimistic about the initiatives we have planned for Southeast Asia Pacific and Greater China in 2013 and fully expect the business in these regions to continue to produce excellent results. Now, I will ask Kevin Guest to report on our North America/Europe results and expectations for 2013.
Kevin G. Guest: Thanks, Dave, and good morning. I'm encouraged by the progress we've made in our North America/Europe region in 2012. Although this region has been flat to modestly down in recent years, fourth quarter sales increased 6.4% year-over-year and full year 2012 sales increased 3.4% year-over-year. Associate counts in the region were flat year-over-year, which is also an improvement over the recent historical trend. Sales growth in North America is being driven mainly by increased Associate productivity in the U.S. and continued customer growth in Mexico. In the U.S., we continue to see a growing number of Associate leaders who are increasing their personal activity in developing their sales organizations. Notably, Mexico had a great year with local currency growth of 33%. Our success in this market is due to the reengagement of many Associate leaders and to a market-specific promotion that has created excitement and incentive for our Associates to grow their organizations. We expect our momentum in Mexico to continue in 2013. As Dave already mentioned, customer growth is going to be our primary focus in 2013. We have several initiatives planned in North America to accomplish that goal. First, we will continue to execute our personalization strategy. In addition to the product and technology initiatives that Dave mentioned, our personalization focus in North America is particularly -- and particularly the U.S., will be on training our growing number of new leaders, as we focus on personal development and leadership skills. Our management team will continue to actively participate in Associate events, meetings and calls across North America to assist our current Associate leaders and improve the skill set of the rising generation of new Associate leaders. At these venues, our training on personalization will focus not only on our True Health Assessment and True Health Companion apps, but on personalizing all aspects of the USANA experience to our customers. In 2013, we will also increase our product focus in North America. USANA is, and always has been, a product-first company. Our brand and reputation have been built on offering the best science-based products to our customers. Our market research has shown that the overwhelming majority of our customers joined USANA because of our products. We believe that enhancing the focus on our product offering goes hand-in-hand with executing our customer growth initiatives. At USANA, we have state-of-the-art IT, media and marketing technologies, all of which will be used to expand our communications about the quality and benefits of our products to an even larger audience. Social media will also continue to be a key component of our communications. Another way that we will enhance our product focus internationally is by continuing to increase our investment in research and development. We did this in 2012 by increasing the size of the R&D team, as well as the programs, studies and innovative activities conducted by the group. In particular, during 2012, we hired a new executive to oversee our R&D group and he shares our passion for science and product innovation. Under his leadership, we will increase our investment in R&D again in 2013 to enhance our product focus and to facilitate the product development and launch initiatives that Dave mentioned a moment ago. To facilitate customer growth in Canada, we will also execute our pricing initiative in 2013, as Dave mentioned. USANA has a long operating history in Canada as one of the most established and successful direct selling companies in that market. Over the last few years, however, our sales and customer results in Canada have declined. We've analyzed our extensive -- we've analyzed the extensive market research and worked closely with our Associate leaders to evaluate different options to improve our results in Canada. We believe that this pricing initiative is the right investment at the right time to generate customer growth in Canada. Again, we will likely see some short-term pressure on our top and bottom line results in this market after implementing this initiative. We believe, however, that the long-term customer growth that can be generated by this initiative will more than compensate for any short-term pressure and will improve our overall results in Canada in the long run. Finally, we plan to announce the opening of a new market in the North America region shortly. This opening will provide our associates with another opportunity to expand their businesses internationally. Stay tuned for details later this year. While we're encouraged by the progress that we are seeing in North America, we recognize that there is still significant work to be done to achieve the customer growth that we believe this region is capable of producing. We believe that the strategy that I've just covered provides the greatest opportunity for USANA to generate growth. With that, I'll turn the call back to Dave.
David A. Wentz: Thanks, Kevin. Thanks for your comments, Kevin. Before we hear from Paul, I want to reiterate my confidence and optimism for our business in 2013. USANA produced excellent results in 2012, and as a management team, we watched the momentum and our business build quarter after quarter. I believe that this momentum will continue throughout 2013, and as we execute the strategies our team has implemented, we will drive USANA to another record year [Audio Gap] to review our financials and discuss our updated guidance.
Paul Jones: Thanks, Dave. It's great to be on the call today to discuss USANA's excellent results. I'll begin by reviewing our fourth quarter financial results and commenting on the better-than-anticipated results. I'll then discuss our updated financial guidance before turning the call over for questions. Sales for the fourth quarter increased 15.5%. Our Active Associate base increased 11.3% during the quarter, primarily as a result of strong customer growth in several Asia Pacific markets and Mexico. Other notable items that continued to -- that contributed to net sales growth include price increases that we implemented during the first quarter of 2012 in certain markets in our Asia Pacific region, increased productivity from Associates in North America, sales of $1.4 million from our newest markets, and favorable changes in currency exchange rates that contributed $3.1 million to the top line for the quarter. Gross margins declined 100 basis points year-over-year, largely as a result of increases in material costs and unfavorable changes in the sales mix by market. These increases were partially offset by the price increases that we implemented during the first quarter and by the positive impact of changes in currency. Associate incentives expense for the quarter decreased to 42.2% of net sales compared to 46% in the prior year quarter. This decrease can primarily be attributed to the price increases just mentioned and the change to the Lifetime Matching Bonus program launched in the second quarter. I'll remind you that we expect the payout under the Lifetime Matching Bonus to gradually increase relative to net sales over time. These benefits were partially offset by spending on contests and promotions that we ran during the quarter. SG&A in the fourth quarter came in at 23.2% of net sales, which was essentially flat from the fourth quarter of 2011. The year-over-year increase in absolute spending can primarily be attributed to costs associated with the opening of our new markets, increased public relations and marketing activities and increased spending on costs that fluctuate with the level of sales. Our effective tax rate for the quarter was 34.5% of pre-tax income and flat year-over-year. Earnings per share for the fourth quarter increased 46% to a record $1.27 per diluted share. This increase can be attributed to higher net earnings and a lower number of shares outstanding from share repurchases over the last 12 months. For the quarter, the company invested $32.8 million to repurchase 767,000 shares. There's approximately $32 million remaining under our authorized repurchase program. Turning to the balance sheet. We continue to generate strong cash from operations and ended the quarter with nearly $71 million in cash. Cash generated from operations totaled $29.2 million for the quarter and $92.8 million for the full year. I'd now like to provide some details on our initial guidance for 2013. We expect net sales for the year to be between $700 million and $720 million. These estimates are based on current trends in sales and general momentum in the business. Projections surrounding the implementation of the strategies and initiatives that Dave and Kevin just reviewed, including the impact from the pricing initiatives discussed, we firmly believe that this initiative will have a net positive impact on our financial results in the long term. We expect diluted earnings per share for the year to be between $5.10 and $5.25. This increase in our guidance for earnings per share can be attributed to leveraged benefits on our operating margin from an increased top line outlook for the year despite the pressure on our gross margins from the planned price increases, lower relative associate incentives and the lower diluted share count that can be attributed to our share buyback program over the last year. Our EPS estimate reflects a diluted share count of 14.2 million shares for the full year 2013. With that, I will now ask the operator to facilitate the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from the line of Scott Van Winkle with Canaccord Genuity.
Scott Van Winkle - Canaccord Genuity, Research Division: I guess the biggest question I have is on the pricing initiative. If I remember correctly, years ago, you tried a value pricing initiative. Am I remembering that correct? And what was the impact on that, maybe in the short-term and the long-term, to kind of put this into perspective?
David A. Wentz: Over 10 years ago, I think it was -- we did a value initiative where we lowered prices dramatically when we saw GNC and others lowering their prices. And as you can see, it led to 10 years of record results. So this is a little bit different. It's only a few of our markets, and it's a smaller decrease, much smaller than we had before. So we think initially, of course, sales will drop with that price decrease, but we expect to get much more growth from active customers, people coming in and staying with the business. And so, yes, short-term pressure, but then we want to get that business growing in those regions.
Scott Van Winkle - Canaccord Genuity, Research Division: Okay. Sad, David. 10 years seems like it was yesterday. I'm older than I thought I was. And how about magnitude? It's -- say the Essentials are $50 and they go to $40. And I'm wondering, because the last time it was more broadly, how do you manage kind of the cross-border relative pricing?
David A. Wentz: Well, it's much smaller, much smaller decrease and it was to fix the cross-border disparity that we had. We had created disparity in markets, and so people were looking across the borders and saying they were getting a better price there just because the exchange rate changes over the years. And so we needed to correct that to get parity, to make it a fair playing ground across all regions. And not have an incentive, oh, you're lucky to be living here and not living there. And that was a big step, but we needed to fix that. And the leaders were very supportive and understanding that we needed to get the parity across markets, because we're an international seamless plan and it's got to be the same playing field across the world.
Scott Van Winkle - Canaccord Genuity, Research Division: Thanks. And the big push in the U.S. is the customization, and you made some comments there. What's the -- what's been kind of the initial response? Obviously, it's positive or you wouldn't be doing it, but what's happening to activity within distributor and customer base?
Kevin G. Guest: Well, one of the things that we're very encouraged by in the U.S. is we're seeing the generational change or seeing a much younger audience and much younger customer base as the Gen Y-ers engage in USANA. And a major focus of our personalization effort is technology and the use of iPads and making it easier to do business with USANA. And so in the U.S., as we've seen that roll out, we're seeing a great impact initially and being well-embraced, as they're utilizing the iPads that were given to them at convention and as we become more technology focused and gravitate towards the younger generation for the future growth in the U.S. And so the adoption rate, we're very happy with, and we look forward to continually improving and upgrading our personalization strategy to grow our sales in the U.S.
Scott Van Winkle - Canaccord Genuity, Research Division: Great. And then, Dave, just a question about the stock price. I mean, if there's $80 million of free cash flow as a round number, you're trading about 6x that, and obviously you stepped up the buyback last quarter. What other kind of thoughts do you have, you and your board, about enhancing some value here?
David A. Wentz: We talked -- I mean, I've spent some time in the boardroom with all of the other CEOs from the other companies and looking at what's been happening and how we aren't being rewarded for our results, and so we're looking at all different ways to try and figure out how to stop this game and get our stock to what it should be. It's crazy. The more record results we put out, the lower it goes. So it's a different world, a different game and we've got to adapt and learn and figure out how to deal with this new environment.
Operator: [Operator Instructions] And our next question comes from the line of Tim Ramey with D.A. Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: So just a couple of other technical details, please. Any expected change in the tax rate for '13? I didn't hear you mention that. If I missed it, I apologize.
David A. Wentz: Well, we had a favorable tax year this year. We expect that we will be at about 33.5% in effective tax rate for 2013.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: 33.5%, okay. So that's a little bit lower then. I guess you had the one lower quarter this year, so maybe it's about the same. And then on the pricing initiative, Dave, you mentioned that it's going to be fewer markets and a lower magnitude. Can you give us some bracketing around that? You mentioned Canada, but does it touch every market because of the rebalancing? But...
David A. Wentz: It touches Canada, Australia and New Zealand. Canada is around a 10% decrease and Australia and New Zealand are about a 15% decrease. Those were the ones with currency exchange rates changing dramatically that really got out of whack and...
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Got it. Okay. So then I was intrigued by the new pay card comment. Can you flesh that out any more? What does that look like? Is it something that goes through, like a -- maybe it's a USANA-sponsored MasterCard or something like that or what does it look like?
David A. Wentz: Absolutely. We're very excited about that. Some of our markets, the people don't have credit cards. And without a credit card, you can't get on our autoship or auto process orders because you can't have a payment system in the computer. They pay by cash or other methods that aren't as automated. What we want to do is give them a card so that we can deposit their commissions onto their card or they can put cash onto that card and then we can have that card on file to process their monthly orders and charge them just so -- and it enables them to build their business easier because it gives them that automatic payment method.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Does it flow through the interchange system? Or is it your own system?
Paul Jones: I believe it's interchange.
David A. Wentz: Tim, it's a third party that we're using here, so all they do is partner with local processors and then go through there.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Okay. And then just on this phenomenal growth in China, it truly has been spectacular. I think it, what, surpassed North America this quarter. And if we think back a year ago, you were seeing Hong Kong declining a little bit as per plan and BabyCare, what used to BabyCare, ramping up. Can you give us any sense of how that shift is playing forward? I suppose we'll read about it in the 10-K, but it'd helpful to get some color there.
David A. Wentz: The shift is continuing. We're liking what we're seeing and the region is doing great. They're building the business faster than anyone, as you see, and we're seeing that shift, so we're very excited.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: So I mean, we should assume that the Hong Kong Associates continued to decline as they did in '11 and the growth has been in mainland?
David A. Wentz: We're going to just -- we're going to focus on getting the growth in mainland. That's where our opportunity is and a ton of potential. So we're focusing our efforts on growing that area.
Paul Jones: Maybe I'd just add to that. We've actually seen almost a 20% increase in active customers in the Greater China region, with the majority of that coming in China itself. So we're pretty excited about that.
Operator: Our next question comes from the line of Frank Camma with Sidoti & Company.
Frank A. Camma - Sidoti & Company, LLC: Just a couple of quick questions. One is just -- do you mind if I clarify, make sure I have this right. So you're not expecting any continued buybacks in your guidance number, is that correct? You're using the 14.2 million share count outstanding?
Paul Jones: That's correct. We have not built any share buyback into the model at this point.
Frank A. Camma - Sidoti & Company, LLC: Okay, great. Okay. So over time, that may be revised as you buy back more shares?
Paul Jones: Correct. We'll continue to look at that and determine what is the best way to return value to the shareholder and make those decisions at the time.
David A. Wentz: [indiscernible] effects [ph] are not included because we don't know where things will go, and so we don't know if it will be or not. This way we'll just leave it out as we give guidance, and then as things change, we'll update.
Frank A. Camma - Sidoti & Company, LLC: Okay, great. Did you mention -- in your press release, you kind of hint at possibly ramping up capital expenditures, I guess bringing some production -- additional production in-house. Can you give us any range of what you expect the CapEx to be in the near term?
Paul Jones: Yes. We typically, as you are aware, run about a $7 million to $10 million maintenance CapEx. In 2013, we anticipate that we'll be up around $20 million to $25 million CapEx, primarily with our investments into the China market.
Frank A. Camma - Sidoti & Company, LLC: Great. Okay. And can you give us just a couple of specifics as a percentage of revenue on some of the larger markets and some of the faster growing ones, such as the Philippines and mainland China, specifically?
Paul Jones: Yes. Let me take a look at some numbers to get it a little bit more accurate here. So I can make sure I'm giving you the right information. In our Asia Pacific area, which includes the Philippines, we saw a 27.2% increase. The Greater China region, we saw 20.1% increase in sales. So both of those markets are doing very strongly. We anticipate that we'll see continued trends in those markets.
Frank A. Camma - Sidoti & Company, LLC: Okay. That's a growth rate. Can you just tell us roughly what the percent of revenue is?
Paul Jones: The percent of revenue on that was 37.1% in the Greater China.
Frank A. Camma - Sidoti & Company, LLC: Oh, no. I meant Mainland China?
Paul Jones: Mainland -- as you're aware, we typically try and keep that regional, but mainland, we're at 4%.
Frank A. Camma - Sidoti & Company, LLC: And the Philippines?
Paul Jones: The Philippines, we are at about 7.5%.
Frank A. Camma - Sidoti & Company, LLC: Great. Okay. And just a bigger picture question. So you have these price increases coming through in select markets. Can you tell us about how you see your pricing in, vis-à-vis, other markets such as for example, the U.S.? I mean, I think you instituted some nominal pricing increases in the U.S. recently, correct? And how do you, I mean, view that against the competition in the market?
David A. Wentz: Yes. The pricing initiative -- we have price decreases in a few of those markets, just to clarify. And in other markets, we have had small increases, just to stick with the raw material increases and the increased expenses. So we will continue every year to make sure that our markets are equally profitable. We want to create an environment where we don't care where the sales come from, they all have the same contribution to market -- margin. So we just work every year to make sure we maintain that.
Frank A. Camma - Sidoti & Company, LLC: Okay, great. And a final question, if I could. What's -- how long does it take for this -- I know you're obviously getting the benefit of the price increases you instituted in some markets earlier, but how long does it take for the Lifetime Matching Bonus to kind of show up in your numbers? Is it -- I mean, is there a qualification period that we should look for where the rate is going to jump?
G. Douglas Hekking: Frank, it's Doug. The Lifetime -- it's already been in there, it's fully in effect when we go back and do this, but because we allow people to go back and reach back 6 months with their history there, that -- their history will gradually build as time moves on. We don't see the Lifetime Match ever paying what the other match paid, so it gives us some additional flexibility to focus on local market incentives and promotions and contests. We still think it really promotes the long-term residual and good customer behavior that we want to see, though.
Operator: And I'm showing no further questions. I'll go ahead and turn it over for any closing remarks.
David A. Wentz: Thank you for your questions and for your participation on today's conference call. If you have any remaining questions, please feel free to contact Investor Relations at (801) 954-7961.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. If you'd like to listen to the replay, please dial 1 (800) 406-7325 or (303) 590-3030, enter 4591698. Thank you for your participation. You may now disconnect.